Operator: Good day, ladies and gentlemen, and welcome to the Square Third Quarter 2020 Earnings Conference Call. I would now like to turn the call over to your host, Jason Lee, Head of Investor Relations. Please go ahead.
Jason Lee: Hi, everyone. Thanks for joining our third quarter 2020 earnings call. We have Jack and Amrita with us today. If you’re experiencing any technical difficulties accessing our third quarter 2020 shareholder letter, it is also available on the SEC’s website. We’ll begin this call with some short remarks before opening the call directly to your questions. During Q&A, we will take questions from our customers in addition to questions from conference call participants. We would also like to remind everyone that we will be making forward-looking statements on this call. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please take a look at our filings with the SEC for a discussion of the factors that could cause our results to differ. Also, note that the forward-looking statements on this call are based on information available to us as of today’s date. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will provide preliminary gross profit growth results for the month of October. These represent our current estimate for October performance as we have not yet closed our accounting financials for the month of October, and our monthly results are not subject to interim review by auditors. As a result, actual October results may differ from these estimates. Also, we will discuss certain non-GAAP financial measures during this call. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter on our Investor Relations website. These non-GAAP measures are not intended to be a substitute for our GAAP results. Finally, this call in its entirety is being audio webcast on our Investor Relations website. An audio replay of this call will be available on our website shortly. With that, I’d like to turn it over to Jack.
Jack Dorsey: Thanks, Jason, and thank you all for joining us today. We know this is a busy time for everyone, especially with the U.S. election this week. So we’ll keep our opening comments focused so we can get to your questions. As a company, we’re continuing to take action to further our purpose of economic empowerment and commitment to financial inclusion. Since last quarter, we announced two strategic investments that aligned with our purpose. The first was $100 million investment in support of minority and underserved communities, and towards our commitment to ending racial injustice. The second was a $50 million investment into Bitcoin, which we believe will be the native currency of the internet and help people around the world better participate and thrive in the economy. A few updates on our two ecosystems, Seller and Cash App, before I turn it over to Amrita and your questions. Let’s start with Seller. We’re focused on providing sellers with fast and flexible access to their funds, which has proven to be especially important this year. Square Card, our business debit card, which we launched last year, provides sellers with a way to immediately access and spend earned funds without setting up a bank account. Adoption of Square Card has increased each quarter since launch. And in the third quarter, sellers spent more than $250 million on their cards. We also work to provide employees easier access to funds. In the third quarter, we launched two new features for Square Payroll, Instant Payments and On-Demand Pay. Instant Payments allows Square Payroll merchants to pay employees using earned funds next business day with direct deposit or instantly when employees use Cash App. On-Demand Pay gives employees a way to get their compensation faster by transferring up to $200 of earned wages per pay period into their Cash App accounts. This strengthens the integration between our Seller and Cash App ecosystems, and it was a great example of what we can do when we connect the two ecosystems together. We continue to believe our ecosystem is a key differentiator for sellers and see an opportunity to educate businesses who are looking to adapt. During the quarter we also ran our largest brand awareness campaign to-date with a focus on how our offerings can help sellers globally through the COVID-19 pandemic. We expect to reach more than 50 million people in the U.S. through our campaigns in the second half of 2020. Now moving on to Cash App. For Cash App, we’ve continued to find ways to make financial services more relatable and accessible for individuals. We’ve seen strong adoption across the Cash App ecosystem, including our stock brokerage product, which has seen the fastest adoption of any product to-date. Since launching it less than a year ago, more than 2.5 million customers have bought stocks using Cash App and billions of dollars have been traded by the end of the third quarter. With the stock products, we’re focused on expanding access to investing for more customers, many of whom likely have never purchased stocks before. This quarter we launched Auto-Invest, which allows for dollar-cost averaging from recurring daily or weekly purchase of Bitcoin or stocks. We also added the ability for customers to find stocks based on industry and performance, and to get relevant news about their stocks right in the app. In closing, we have scaled not one but two ecosystems focused on expanding access to financial services for sellers and individuals. We intend to continue looking for opportunities within each ecosystem and to expand into new adjacencies beyond seller. We’re investing for the long-term and we’re energized by what’s possible. And with that, over to Amrita.
Amrita Ahuja: Thanks, Jack. There are three topics I’d like to cover today. First, a look at our performance in the third quarter, where Cash App delivered strong growth and Seller achieved positive gross profit growth and showed stability on GPV. Second, an update on our business in October and what this could mean for growth going forward. Third, a look at where we intend to invest in the fourth quarter of 2020 and in 2021 across both ecosystems given the compelling opportunities ahead of us. In the third quarter, gross profit was $794 million, up 59% year-over-year or 63% growth excluding Caviar. Net income was $37 million and adjusted EBITDA was $181 million. Cash App delivered incredible gross profit growth of 212% year-over-year. The $385 million in gross profit Cash App generated was more than triple of what it did in the third quarter of 2019. Cash App’s results highlight our ecosystem’s ability to help customers manage their finances. Looking at the three main drivers; first, we continue to see strong acquisition of new customers to our platform each month with our highest number of new customers added in a quarter. Second, we continue to efficiently cross sell our broader ecosystem, increasing adoption of higher-value products such as Cash Card, Bitcoin and direct deposit. We found that customers who adopted two or more products and spend three to four times more gross profit compared to those who only use peer-to-peer payments and this adoption allow our customers to find growing daily utility in Cash App. In the third quarter daily transacting actives nearly doubled year-over-year and represented nearly a quarter of Cash App monthly transacting actives. Third, we saw volume per active peak in July, as we benefited from increased inflows in the Cash App. This is a dynamic we’ve observed in the past related to seasonal past refunds, as well as direct deposits of recurring paychecks and fall to an even greater extent through July where the introduction of government stimulus funds. As expected influence stepped down from July, although remained relatively steady in August and September as we continue to benefit from greater inflows into customers’ accounts compared to pre-COVID level. For our Seller ecosystem, gross profit was $409 million up 12% year-over-year, excluding 4th of July and Labor Day, seller GPV growth was relatively consistent on a year-over-year basis from July to August, followed by a modest improvement in September. Three factors to call out here in the third quarter, across key strategic areas for our Seller business. First, omnichannels remains a priority. Now online capabilities compliment our broader ecosystem. We saw continued strong GPV growth from our online channels up more than 50% year-over-year again in this quarter. Second, we saw stronger growth from our international markets in the third quarter, seller GPV in our markets outside the U.S. grew 46% year-over-year in the third quarter and represented 11% of total seller GPV up from 6% two years ago. Growth in the quarter was primarily driven by easing of restrictions in various regions, as well as our strong acquisition of resellers. Third, we remain focused on broadening our sales and marketing strategy for our Seller ecosystem. Overall across our increased go to market investments, we drove strong acquisitions similar to last quarter. We track acquisition looking at the first five weeks of gross profits from a new cohort and our seller cohorts in the third quarter generated greater gross profit compared to those who joined our platform a year ago. Adjusted EBITDA of $181 million in the third quarter was primarily driven by top line growth and also benefited from a $40 million release of transaction loss provisions related to our Seller business. As actual loss rates trended more favorably than we had previously estimated. Next, we wanted to share with you what trends we are seeing in real-time and implications on growth going forward for each ecosystem. In October, we expect Cash App gross profit growth of more than 160% year-over-year. We continue to grow the network through strong new customer acquisition, drive adoption of our products and healthy engagement and daily utility. As expected, we saw a reduction in transaction volume per active customer in October, driven by moderating inflows and stored funds, albeit still well above pre-COVID levels. Looking ahead while the team has continued to execute, there remains a wide-range of outcomes related to government in flows and how consumer behavior normalizes in 2021, which could lead to Cash App gross profits decelerating during the remainder of this year and into 2021. Given Cash App incredible growth year-to-date in 2020, we will have particularly challenging comparisons in the second and third quarter of next year. Turning to the Seller, in October we expect our Seller ecosystem to achieve year-over-year gross profit growth slightly ahead of the 12% growth Seller reported in the third quarter. Seller GPV was up 8% year-over-year in October, which modestly improved compared to the third quarter, which was up 4%. In our international markets we saw GPV growth of 50% year-over-year in October. However, two of our largest markets the UK and Canada recently implemented more targeted shelter-in-place measures, which could affect growth in the fourth quarter. Card-not-present transactions were up 23% year-over-year in October, relatively consistent with what we saw during the third quarter, while card-present transactions were up 1% year-over-year an improvement from the third quarter. Regional trends on card-present transactions have varied depending on the extent of shelter-in-place restrictions. We expect to continue to observe variability related to the1 macro environment, pace of recovery and stricter shelter-in-place restrictions through the winter months, which could impact our performance. Our Seller gross profit has grown faster than GPV this year, in part due to higher transaction margins, which benefited from a greater mix of debit card-not-present transactions and higher average transaction sizes. We recognize these dynamics driving transaction margins in 2020 could normalize in 2021. Finally, we intend on investing for the long-term across both ecosystems in the fourth quarter and in 2021. And we’ll share a preliminary view of where we see the greatest opportunities. In the fourth quarter, we expect to increase non-GAAP operating expenses, excluding risk loss by at least $30 million compared to the third quarter. As we continue to invest in go-to market and hiring, particularly for engineers driving product development. As we plan for 2021, we again are making the deliberate decision to invest in both ecosystems. As we believe we are in the midst of a transformative opportunity to reach new customers and expand each of our ecosystems. Next year, we expect to invest in incremental $800 million to $850 million in non-GAAP operating expenses, excluding risk loss, which represents growth of approximately 40% year-over-year. We expect the overall impact to our profitability in next year to depend on top-line growth trends in 2021, which will be determined in part by a variety of macro factors where we see a wide range of potential outcomes. So what is in our control, let’s look at where we are investing in each ecosystem. For Cash App, we plan to focus on investing in sales and marketing to drive acquisition of customers and new demographics and to engage former customers. We also plan to invest in product development by continue adding value to our customers and support operations as the business scales. For Seller, we plan to invest in sales and marketing to drive new seller acquisition and hiring among engineers to further out product roadmap as we grow up markets to serve larger sellers and as we look towards global expansion. We expect our blended company margin to be affected by the mix shift to Cash App. As a reminder, Cash App represented nearly 50% of our business in the third quarter up from 25% a year ago. For the full year 2020, we expect Cash App to deliver more than 10 points of margin expansion and reach profitability on an adjusted EBITDA basis. So far this year Cash App has demonstrated strong unit economics and the ability to scale efficiently. However, as we look at the needs of our customers, the size of the addressable market and our team’s ability to move quickly, we see compelling opportunities to invest further. While Cash App has significantly improved its profitability, it is still a much hinder business and earlier in scaling its margin profiles than Seller. In summary, we’re excited about the opportunity ahead of us to serve a wider set of needs for both new and existing customers across our ecosystems and intend to invest given a significant opportunity ahead of us to deliver a long-term profitable growth. I’ll now turn it back to the operator to start the Q&A portion of the call.
Operator: [Operator Instructions] Our first question is from the line of Tien-Tsin Huang with JPMorgan. Please go ahead.
Tien-Tsin Huang: Thank you so much. Really a strong gross profit growth here. Just thinking about the drivers, I was wondering if maybe you can comment on customer acquisition versus higher customer engagement, not only in the quarter, but just looking ahead for both ecosystems. Amrita, I just heard you talking about sales and marketing stepping up, that makes sense, but I’m just curious how you’re balancing this customer acquisition versus engagement equation. Thanks.
Amrita Ahuja: Sure. Thanks for the question, Tien-Tsin. Let me start by telling you where we are in the third quarter and in October on both business units in terms of these drivers, and then we can talk about where we’re continuing to invest into 2021. So first on the Seller business; in the third quarter, GPV was up 4%. Monthly growth is relatively stable throughout, improved in September and October, and then with a modest improvement to that 8% in October. Some of the key drivers there. So first, obviously, COVID restrictions helping many of our businesses as they ease throughout the quarter, and we saw that impact our GPV, but we do want to be mindful on continued variability related restrictions. Second, retention. So you mentioned engagement. We kind of look on the Seller business at GPV retention for existing sellers, where we compare how sellers did in the prior year – from the prior year or doing this year. But what we saw was that our GPV retention for existing sellers was down approximately 10% to 15% year-over-year in the third quarter and October. And it’s held relatively stable since July. We’re seeing improving retention in verticals, where restrictions were eases during the third quarter and October, such as beauty, professional services and health and fitness. And clearly we believe a primary driver of retention trends has been state-by-state restrictions, any impact on sellers’ ability to slowly reopen. When we saw certain states expanding reopenings in September and October to additional verticals, we saw corresponding improvements in GPV retention in those states. And the third key driver was new customer acquisition. As you noted, we’ve seen encouraging trends in the Seller business in the second and third quarter, as we’ve seen growth in terms of new cohort sizes and aggregate gross profit, and we’ve been able to attract larger sellers over the past two quarters. You saw larger sellers increase to 61% of the share of total seller GPV in this last quarter, up 5 points year-over-year. And we want to lean in here behind the strong ROI historically over 3x on sales and marketing investments over three years, as well as new business formation, which is up strongly quarter-over-quarter. Let me move next then to Cash App to telling you sort of the key drivers, some of which we talked about in the prepared remarks and clearly acquisition is a part of that. So Cash App saw very strong growth in the quarter, up 212%. The three key main drivers share that growth; first, new customer acquisition, as well as win-back. We’ve already attracted a lot of customers and bringing them back to the platform can oftentimes be more efficient. And with the network effects that we have, we have the ability to lean in and scale more quickly, particularly as we’ve seen values go up, we can invest differentially into this network. Second, product adoption and engagement. We’ve seen continued strong attach on Cash Card, which is still at about one in four related to our monthly actives. And so we think there’s further room for growth here, as well as on new products like stock brokerage, which has 2.5 million customers now, and is our fastest product to ramp. And then third key driver of Cash App growth is strong volume per active, which as I mentioned, we saw peak in July before slowing down as we expected related to the falloff of government inflows. Now as we look at 2021 based on all of that, where do we want to invest, you definitely heard from us that we want to lean in further to grow the networks of both of these businesses while continuing to work with existing customers, bringing them more value through additional products. We will, as I mentioned, be investing. We expect to invest in an incremental $800 million to $850 million in non-GAAP operating expenses, excluding risk loss, which is growth of about 40%. The way we expect that to break down that incremental spend is about half of it to go towards go-to-market investments, sales and marketing to both bring back lost customers as well as to focus on new customer growth across both ecosystems, that includes growing a sales team for Seller and leaning in further to our network effects on Cash App. About a quarter of that stepped up investment, we will go towards product development, continuing to refine our existing products, as well as building new products into both ecosystems with a global focus. And then the final quarter, it goes towards G&A, including support and operations infrastructure to scale our businesses and particularly building in automation, AI and ML capabilities so that we can scale these sustainably going forward.
Tien-Tsin Huang: Got it. Thanks for the complete answer. Good growth. Thank you.
Amrita Ahuja: Thank you.
Operator: And your next question is from the line of Lisa Ellis with MoffettNathanson. Please go ahead.
Lisa Ellis: Hi, good afternoon. Thanks for taking my question, guys. All right. I wanted to ask about Cash for Business. Very exciting. You broke out some new numbers this quarter, 10% of GPV. We love that because it’s a little two-sided network. Can you elaborate a little bit on where you’re gaining this traction with Cash for Business? And is it net new business or replacing some of your micro sellers? And then also just a little bit more color on the economics, I know the take rates there are around that 2.75%. But is the funding mix here actually more attractive because it’s funding out of stored balances as well, any additional color there? Thank you.
Jack Dorsey: Hey, Lisa, thanks for the question. So the way to think about Cash for Business in terms of like, what we’re seeing in Seller adoption is, it’s very similar to the patterns we saw early on in the company’s history with the free reader. So we saw sellers, sole proprietors, smaller sellers, pick it up and use it in a variety of ways. What’s different about Cash for Business, of course is, it’s all digital and allows those sellers to manage their business through peer-to-peer transactions to their cash type. And it also provides them higher weekly limits and relevant tax reporting forms. We did see a new pattern emerge during COVID-19 because it allows for contactless transactions with their buyers and with their customers. But we see proprietors like beauty, online retail, we’ve seen local businesses use it to collect donations. We think there’s a lot of opportunity here and we do believe that it’s quite powerful that the customers using Cash for Business transacting much more frequently across our ecosystem compared to other customers in Q3. So it, again, just strengthens the Cash App ecosystem and more broadly as some of those sellers graduate, they can also use the tools offered by the Seller business as well.
Amrita Ahuja: And Lisa, just to weigh in on your question with respect to economics. So Cash App business GPV, which has composed primarily attached for business volumes as well as a small piece from peer-to-peer funded by credit card, Cash App business GPV was $2.9 billion, as you noted, about 9% of Square’s total reported GPV. And we see transaction revenue here of about $81 million. Both of those metrics were up more than 300% year-over-year in the quarter. We monetize Cash for Business at 2.75% of volumes and these Cash App volumes did provide a benefit to our transaction margins as well, given the funding mix as you noted. We’re doing more work to understand our customer needs here, as Jack mentioned, and we recognize some of this uplifting growth may be related to COVID-specific trends that we will – that could potentially normalize and we’ll continue to monitor.
Lisa Ellis: Wonderful. Thank you.
Amrita Ahuja: Thanks, Lisa.
Operator: Your next question is from a Square Seller, Jared Sorensen. Please go ahead.
Jared Sorensen: Thank you. Yes. My business is about selling large gourmet cookies and my business name is Texas Cookie Shop. Currently when a customer comes in to the store, they can buy cookies either like one at a time or in boxes of six or a dozen. When I do sell a half dozen or a dozen, the POS will automatically add the volume discount. However, the website that I have does not. So I wanted to know is it on the roadmap to revive the shopping cart with similar automatic volume pricing options.
Jack Dorsey: Yes. Thank you, Jared. Thank you for being a customer as well. We do plan to enhance those on Square Online store to provide similar automatic pricing options as you mentioned in Square Point of Sale. The prerequisite functionality to support the feature is in development. So we’re going to work as fast as we can to get it out to you. And definitely appreciate any feedback on remaining gaps that might help you serve your customers better.
Jared Sorensen: Yes, that’d be perfect. Thank you very much.
Jack Dorsey: Thank you so much.
Operator: And your next question is from the line of Timothy Chiodo with Credit Suisse. Please go ahead.
Timothy Chiodo: Thank you for taking the question. All right. My question is a follow-up on the update you gave on the Square Card earlier this afternoon. It’s a topic that’s also somewhat related to my question last quarter, around the SMB digital banking opportunity for Square. So you noted the volume has ramped up to $250 million this quarter, and that math suggests it’s in the ballpark give or take about 1% of seller volume. So it seems like a long runway ahead, and I was hoping you could give maybe some added thoughts on some of the things that either you have been doing or can do to address this opportunity. It does seem like a long runway for a product that really seems to be a win-win for the sellers and for Square.
Jack Dorsey: We agree completely. And the way to think about the Square Card is kind of in that vein of a use case of getting people, whether they’d be individuals or sellers, faster access to their funds. It just matters so much. And that’s what Square Card represents is sellers get to utilize their money much faster. Since launch we’ve seen adoption in growing with more sellers using it each quarter. We saw sellers using a card upon joining Square. And in the third quarter, 50% of the Square Card sellers ordered their cards within the first month of onboarding, which is pretty incredible. And we’re seeing sellers use the card for everyday expenses like gas stations and discount retailers, their own inventory. So we’re watching very closely the patterns in terms of how people are using it, where we can improve it, what we can build on top of the card or adjacent to the card. But there’s a vein in this use case of cash flow management of enabling faster access to funds is very rich for us. And they’ll come in many manifestations, and Square Card, it’s just one of the latest and definitely excited about their performance recently.
Amrita Ahuja: And from a revenue perspective, Square Card’s relatively small today. We expect it to ramp over multiple years, both for new merchants and increased monetization from the existing base as we add those new features to help sellers manage their balance. Similar to the dynamic we’ve seen on the Cash App ecosystem, the card enables people to keep their funds and sellers to keep their funds within our ecosystem, which leads to higher customer lifetime value. So it’s something we’re encouraged to keep building out.
Timothy Chiodo: Yes, that makes a ton of sense. Thank you so much both of you for the answers there. A brief follow-up, we don’t have to spend too much time on this, but you did mention the retention ratio is kind of similar to July and for the Seller business at down 10% to 15%. And when I just look at the positive volume growth, it just implies to that gap there, it really implies a pretty big new cohort that comes on, and you’ve characterized a little bit talking about how they’re generally larger sellers, higher gross profit. I know it’s hard to say because most of these sellers are self-onboarding, but if you could give any context that you might have around what these sellers might’ve been doing before, given their size, I’m assuming that they were probably already accepting payments in some way.
Amrita Ahuja: Look, when you look at the opportunity ahead of us, we’ve sized our TAM and materials earlier this year, we think the vast majority of the market, especially in larger seller market is being addressed today on legacy platforms, legacy infrastructure and platforms that we believe aren’t as flexible as ours can be with integrated payments, financial services, hardware software. And we did see growth in our larger seller cohorts. If you look at larger seller GPV, it’s about 13% growth year-over-year relative to the entire base at 4% growth year-over-year. And we do believe that’s related to stronger acquisition of larger seller cohorts as we mentioned onboarding in both the third quarter and second quarter. So we believe that our unique platform has a real opportunity to address these larger, more complex seller needs through multiple different products that we can offer.
Timothy Chiodo: Great. Thank you so much for taking the questions.
Operator: The next question is from the line of Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Hey, guys. Thanks. Nice job on the quarter. I wanted to just to hone in on beyond just obviously Cash for Business being a big driver of volume right now. We saw some pretty material growth in the online side or really just card-not-present again, up, I think it was 24% versus 16% last quarter. If you could just talk a little more on the strategy there, and maybe just the other big driver being international, which again, you guys talked about I think it was 46%. Maybe just if you don’t mind honing in a little more on the strategic initiatives on both those sides, how big can it get as a percentage of mix in the next couple of years?
Amrita Ahuja: Maybe I can kick us off. It sounds like you’re looking for some more color around online and international, and we’ve seen strong traction in both areas as you noted. And then in the third quarter, we saw continued strength in GPV from our online channel, which grew over 50% year-over-year consistent with the growth we’ve seen on average over the past year and a half. And then when you combine the two, when you look at online channel growth outside of the U.S., and our international markets, that was even stronger at over 60% in the third quarter, driven by strong adoption of e-commerce API, invoices, Square Online, the variety of online products, so we provide the compliment that broader ecosystem. And as you look at Square Online as a front door now for us, we’re also seeing encouraging trends there, where one and two new signups to Square Online are new to Square more broadly in October. I think last quarter we had told you one and three, and so we’ve seen some improvement in that as well, where we can help our customers from an omnichannel perspective, including these online products and features.
Jack Dorsey: And just on the international side, global growth remains a top priority for both ecosystems. But just looking at Seller for a minute, since the beginning of our expansion and through the end of 2020, we will have had 85 product launches in the four markets we serve across hardware, software and our financial service offerings. And just for example, we recently launched Square for Retail in the UK and Australia, and Square Online in Japan. So we want to continue to make sure that our product offerings that we have in the U.S., are rolled out to the rest of our markets as well, and of course always evaluating additional markets for potential expansion as well. And Cash App in terms of global growth, it is also a priority for us, a top priority for us. We launched in the UK, we also launched cross broader payments between the U.S. and UK. And we think there’s a lot of potential here. We acquired a company called Verse in Spain, which allows – gives us an opportunity to learn from the peer-to-peer growth in European markets. So right now we continue to add all these aspects that help us learn and to really make sure that we’re expanding around the world in a smart way.
Darrin Peller: Okay. I mean, it does look like there’s inflection in international. That’s great to see, guys. Thank you.
Jack Dorsey: Thank you so much.
Operator: Your next question is from the line of Rayna Kumar with Evercore ISI. Please go ahead.
Rayna Kumar: Good evening, Jack and Amrita. Thanks for taking my question. Can you discuss your recent thoughts on capital allocation and specifically your appetite for acquisitions? Maybe what types of acquisitions interests you the most today and which businesses would be most additive to Square? Thank you.
Jack Dorsey: Well, I’ll take the first part. I mean, we definitely have an appetite for acquisitions both in terms of products and also great teams. We’ve shown some examples of like the categories that we’re looking at. We certainly want to continue to add more force behind some of the trends that we’re seeing within our space, such as artificial intelligence, and also cryptocurrency and specifically Bitcoin. We’ve certainly looked at multiple products that we can learn from and as we add to the company we have much more from core competing offering. So we are constantly looking for great teams or great products that complement our adjacent to our key ecosystems in Seller and Cash App. And we want to make sure that, we’re pretty open not just with the acquisitions in U.S. but also abroad. Because great companies are being more and more found all over the world.
Amrita Ahuja: And Rayna, I will just jump in the capital allocation piece of it. Obviously the key piece of that is, where we’re investing internally and ensuring that we maintain discipline and we are going after the biggest opportunity. So I had mentioned earlier that step up as investments next year $800 million to $850 million, we expect majority of that to go towards our ecosystem, about 60% directed to Cash App and about 40% directed to Seller, while also leaving some room to test and learn around the other new strategic investment areas. Within Seller, we expect to grow our sales and marketing investments by 40% to 45% year-over-year in 2021 across brand and the awareness marketing to drive top of funnel demand, doubling the size of our sales headcount next year and our account management teams to address larger seller needs and where we’ve seen efficient returns even during COVID this year. And that increasingly global focus that we’ve mentioned to pulling these campaigns across international markets from a product development standpoint within Seller. And we want to build out this engineering data science design teams who can expand that ecosystem and amongst other things focus on some of the products that each larger sellers like our vertical specific features and develop our APIs as well as bringing those products more globally. And then finally on Cash App, the step up of investment there, we talked about acquisition and win-back, we’ve already started deploying this year an increased investment around paid marketing, and we’ve seen strong returns on that with payback at less than a year. And again, with low customer acquisition costs and growing our lifetime value, we see strong returns on these investments. From a support perspective, Cash App has rapidly scaled this year, and customers are increasingly using Cash App for broader services beyond peer-to-peer. So we intend on scaling our support and other operations infrastructure for the business in 2021. We expect the magnitude of this step up to be one-time in nature, and we envision operating leverage in this area in the future because of the investments in things like AI and machine learning to drive automation and efficiency. And then finally product development on Cash App, the team has delivered strong product velocity over the years with a mix of major new launches as well as adding a feature development and we expect to continue to do that in the near future.
Rayna Kumar: Very helpful. Thank you.
Operator: The next question is from the line of Pete Christiansen with Citi. Please go ahead.
Pete Christiansen: Good evening. Thanks for taking my question. Amrita thanks for the color on the potential for tougher comps in second quarter and I know it’s challenging. And stripping out the impact of stimulus that you’ve seen, but I guess looking at growth in customer funds, at least sequentially, I think it was up 78% in the quarter. Should we think of that as at least on the Cash App side is an underlying growth rate for the existing base, I’m trying to exclude the big rapid spending and the new customer acquisition that you had set for it. Do you see that as a good level that investors should think about going forward, at least for the next quarter or two?
Amrita Ahuja: Hey, Pete, thanks for the question. Maybe we can talk about the number, I think you were talking about stored funds which were up for Cash App, which were up 78% quarter-over-quarter, correct me if you’re wrong that’s the number.
Pete Christiansen: That’s correct. Yes.
Amrita Ahuja: Okay. Yes. Look stored funds for us is one indicator of the use of the Cash App platform. And obviously it’s a factor of inflows into the platform and outflows from the platform. The more we can keep our customer, we can deliver value to our customer base through a variety of products, including Cash Card, investing, et cetera. The more we have the ability to give people a reason to store their funds within Cash App. We do recognize as you noted the impact of stimulus, which drove us to sort of peak levels in terms of stored funds. We were in about $2 billion in stored funds in July, before seeing a decrease in October at about $1.75 billion in stored funds down about 10% from July to October. And we think that, that’s likely related to influence related to these sorts of government funds. And that’s why we noted on the call that in the absence of further government funds, we can see normalization around. And we’re already seeing normalization around that one driver of volumes per active, and could expect to see further deceleration there for the remainder of Q4 and into 2021. And, again would think about the Cash App business on a two-year basis here to help normalize for some of the acceleration we saw in this year, Cash App has delivered over 170% gross profit growth year-to-date on a year-over-year basis this year. And so we may see those trends normalize over time and would look at things from the 2019 to 2021 basis to normalize for some of that growth.
Pete Christiansen: That’s helpful. And just as a quick follow-up. I know there was a big discretionary spend this last quarter, new acquisition growth. How are you seeing adoption of Cash Card? I know that typically a quick add up for a new Cash App user initially, are you seeing similar take up levels when you’re signing on a new Cash App user converting to Cash Card?
Amrita Ahuja: Yes, I think we noted in our quarter – in the earnings call last quarter, that we had seen faster product adoption amongst new customers, those new cohorts of customers, as we noted in our 2Q call on Cash App and not included for things like Cash Card. As of the end of June, we had over 7 million monthly actives on Cash Card and the majority of them spending over five times per week in June. And we’ve seen strong engagement since – we obviously saw that play out in the quarter for us as well. And we think that there’s more to do here. Cash Card has achieved strong adoption at nearly one in four of our monthly actives using Cash Card on a monthly basis in June. And we think that there’s even more that we can do in terms of surfacing Cash Card and the Boost product and related features to our customers in an even greater way as we move forward.
Pete Christiansen: Thank you, really helpful. Thank you.
Amrita Ahuja: Thanks.
Operator: [Operator Instructions] Our next question is from the line of Ramsey El-Assal with Barclays. Please go ahead.
Ramsey El-Assal: Hi, thanks for taking my question. I wanted to ask about whether you have any initiatives or plans in place to build out a broader kind of B2B product set, I guess especially in Seller. It seems like that type of a thing like AP, AR automation, supplier payments, would fit like a glove in terms of what you’re already offering your customers. Just curious what your view is on the B2B opportunity for Square.
Jack Dorsey: Yes. Thank you for the question. I think there is a lot of opportunity. And we certainly were kind of pulling at this thread when we launched the Square Card by incentivizing Square Merchants to shop with other Square Merchants. So there is something there that we’re excited about and there is a pattern in a use case that we want to watch more closely, but we have nothing to talk about today. Right now we continue to focus on like the most critical aspects to run the business to better serve customers and also a lot around customer relationship management. But as we continue to make that more robust, there are certainly adjacencies that are very interesting in something that we’ll look deeply at.
Ramsey El-Assal: Terrific. Thank you.
Operator: Your next question is from the line of James Friedman with Susquehanna. Please go ahead.
James Friedman: Hi, it’s James with Susquehanna. I noticed, Amrita you released some reserves, if you could describe where you are in that journey, it was a bigger conversation, obviously earlier in the year. Any update there would be helpful. Thank you.
Amrita Ahuja: Sure. Happy to help with that. Overall in the third quarter, transaction and loan loss expenses were $15 million down 54% year-over-year with that decline primarily driven by the $49 release of an existing provision for the Seller business related to the first half of the year, which more than offset the increase in provisions related to the third quarter. And when you look on a year-to-date basis for Seller, in 2020 transaction losses as a percentage of GPV is trending at about 1.7x, what we would have seen in terms of a quarterly average in 2019. This is above the 3x that we had estimated back in the second quarter, and that reflects our current provision level for risk loss on these cohorts year-to-date. To break that down across the various cohorts first quarter and then second and third quarters. For the first quarter our transaction risk loss trends have now matured. Transaction losses represented an increase of about 1.2 times year-over-year on a dollar basis. And for the second and third quarters, we’re now positioned at about two times greater on a year-over-year basis on a dollar basis, given the ongoing uncertainty for those more recent cohorts. Let me know if that answered your question, Jamie. Obviously future provisions, we are going to depend on a bunch of puts and takes that we’re going to continue to monitor related to broader macro environment.
James Friedman: That’s great. Thank you very much.
Amrita Ahuja: Thanks.
Operator: Your next question is from the line of Josh Beck with KBCM. Please go ahead.
Josh Beck: Thank you for taking the question. Yes. I found the commentary around really needs new cohorts that you’re bringing in on the Seller side are actually seems to be contributing more than the similar cohorts a year ago. It certainly seems like the number of products that Cash App users are adopting is up. So just would like to hear a little bit about maybe how that influences the LTV to CAC equation and really how that is influencing your investment philosophy as we move forward.
Amrita Ahuja: Sure. Maybe starting just on what we’re seeing so far with the stepped up investments in go to market for the Seller business. We increased our investments meaningfully in the third quarter, as we had told you in last earnings call, excluding Cash App other sales and marketing expenses which is primarily reflective of the pace of seller investments were up 63% year-over-year on GAAP basis. What we were doing was we launched an awareness marketing campaign across a range of new channels, including TV, radio, podcasts, et cetera and we expect to reach through those channels, 50 million people in the second half of this year. These campaigns really tell a broader story on the ecosystem and it specifically speaks to larger sellers in terms of the range of products that we have to meet their needs. These campaigns do have longer payback periods than performance marketing, but we’ve also seen that they drive top of funnel interests which allows us to scale performance marketing. And we see further opportunity to do that in 2021 as well. And then similarly sales and account management teams have generated efficient paybacks in 2020. We’re doubling the size, as I mentioned, the sales team in 2021. And that’s helped us reach more and more larger sellers, which now account for 61% of seller GPV. When we think about reaching these larger sellers, who can take on more products with us that certainly has an impact on lifetime value, which is why we want to measure these investments against ROI. And look at that sort of longer-term duration of a partnership with the seller and how we can deliver value to them and see increased value from those sellers, which enables us to lean-in even further to that. From a Cash App perspective where we’ve been investing, it’s been about a year now since our first paid ads for Cash App, we launched them for the first time in December of 2019. And with our ARPU and lifetime values up, 3x over the past three years. We are seeing significant room to scale marketing spend still at very strong ROI. We ramped paid marketing for Cash App in the third quarter and into October with low customer acquisition costs across a variety of new channels. And we are seeing compelling payback so far on that acquisition spend at less than a year. Of course, a key piece of that is related to the ability to drive stronger value into the ecosystem and therefore stronger ARPU and lifetime value of these customers, which becomes a flywheel. It enables us to invest more both into the product and into the go to market.
Josh Beck: Really helpful. Thanks Amrita.
Jack Dorsey: Welcome.
Operator: Your next question is from the line of Andrew Jeffrey with Truist Securities. Please go ahead.
Andrew Jeffrey: Hi, good afternoon. Appreciate you taking the question. I wonder if you could talk a little bit about what you see as the role of QR code, in retail generally, but maybe in restaurants in particular whether that’s a capability Square is going to progressively support at any point?
Jack Dorsey: Yes. So on the Seller side, we had self-serve ordering capabilities by QR code and that integrates with the restaurant’s kitchen and payment systems. We also have QR codes built into to the Cash App and are seeing really strong adoption in usage there. Generally I think it’s just a function of the speed of the ORS and how easy the OS makes this adoption. Obviously, other markets have adopted it very strongly, but we have all the functionality in place and as people get more and more comfortable using it, especially in the U.S. I imagine we’ll see more, but I do think it is a broader function of how fast it is versus other technologies, certainly competing with NFC as well, which is pretty fast. But we want to make sure that a Seller and an individual using Cash App has every available tool to them so they can meet their customers wherever that happened to be.
Andrew Jeffrey: Appreciate it. Thank you.
Jack Dorsey: Thank you.
Operator: Okay. And the final question is from the line of Bryan Keane with Deutsche Bank. Please go ahead.
Bryan Keane: Hi guys, congrats on the results. I just wanted to ask or just follow-up, and ask about further penetrating insight of Cash Card and direct deposit. What are some of the things you can do to help drive that penetration even higher? I know Cash Card is at 25% today, but it feels like there’s some room to push that higher. I think you mentioned maybe Boost and some other things, and maybe that’s part of the spent next year to get that adoption up. Thanks so much.
Amrita Ahuja: Maybe I can start-off on this one. I think there’s a couple of different ways that we can approach driving Cash Card. And you mentioned direct deposit, you mentioned Boost, we view these products as working together as an ecosystem. And it’s part of our work to surface these products in a straightforward and frictionless way to our customers. With respect to direct deposit, we have seen steady month-over-month growth in the number of customers depositing their recurring paychecks, which continued into the third quarter. We know that direct deposit customers typically pull more funds, they have pulled more funds in the Cash App, they store higher balances, they have adopted more products including Cash Card, where they typically spend multiples more than other Cash Card actives do. All of which has driven monetization of lifetime value for that direct deposit customer. So we do see strong correlation of these products driving usage into other products in this example direct deposit and the Cash Card. So we continue to focus on developing the features around both products and the broader ecosystem together.
Bryan Keane: Great. Thank you.
Operator: And I’d now like to turn the call back to the company for closing remarks.
Jason Lee: Thank you everyone for joining our call. And would like to remind everyone that we will be hosting our fourth quarter 2020 earnings call on February 23, 2021. Thanks again for participating today.
Operator: Ladies and gentlemen, thank you for participating in today’s program. This concludes today’s program. You may all disconnect.